Operator: Good morning and thank you for standing by and welcome to today's International Paper Fourth Quarter and Full Year 2020 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, you will have an opportunity to ask questions. [Operator Instructions] I'd now like to turn today's conference over to Vice President of Investor Relations, Guillermo Gutierrez. Please go ahead Sir.
Guillermo Gutierrez: Thank you, Holly. Good morning, and thank you for joining International Paper's fourth quarter and full year 2020 earnings call. Our speakers this morning are Mark Sutton, Chairman and Chief Executive Officer; and Tim Nicholls, Senior Vice President and Chief Financial Officer. There is important information at the beginning of our presentation on Slide 2, including certain legal disclaimers. For example, during this call, we will make forward-looking statements that are subject to risks and uncertainties including the impact of COVID-19. We will also present certain non-U.S. GAAP financial information. A reconciliation of those figures to U.S. GAAP financial measures is available on our website. Our website also contains copies of the fourth quarter and full year 2020 earnings press release and today's presentation slides. Relative to the Ilim joint venture and Graphic Packaging investments, slide two also provides context around the financial information and statistical measures presented on those entities. I will now turn the call over to Mark Sutton.
Mark Sutton: Thank you, Guillermo, and good morning, everyone. We'll begin our discussion on Slide three with full-year 2020 results. [indiscernible] impacts of the pandemic in 2020 reaffirms my admiration and appreciation for our employees and their ongoing commitment to take care of each other and to take care of our customers. I am really proud of the outstanding collaboration across our commercial, supply chain and manufacturing teams to adapt to our customer's rapidly changing needs. We ran our manufacturing system well and leveraged the flexibility of our newly converged systems to overcome significant challenges due to the pandemic while managing cost extremely well across our three businesses. Looking at our performance, International Paper delivered solid earnings and outstanding free cash flow in 2020. We generated $2.3 billion in free cash flow and delivered the company's eleventh consecutive year of value creating tenants [ph]. Our performance demonstrate the strength and resilience of our employees, our diverse customer base and our world class manufacturing and supply chain capabilities. Given the significant economic uncertainty, we took prudent and early actions to reinforce cash generation and enhance our financial strength. On capital allocation, we're choices consistent with our capital allocation framework. We retained $1.7 million of debt, converted strength in our balance sheet, we're also seeing significant benefits in our pension plan from the actions that we took to de-risk the plan during the past few years, which contributed to a 95% funding model in yearend 2020. Also in 2020, we returned $800 million to our shareholders and we continue to invest in our North American and EMEA business to enhance our capabilities and grow our earnings. We're really excited about the path returning to build a better IP. We're building our strength of our corrugated packaging business and taking meaningful actions to drive sustainable, profitable growth and accelerate value creation for our customers and shareholders. In a few minutes, I'll discuss some of the investments we way right away to deliver on our commitment. Turning to full-year results on Slide four, we delivered EBITDA of $3.1 billion and free cash flow of $2.3 billion. Lower year-over-year sales was driven by the decline in printing papers demand through the market disruptions from the global pandemic. Earnings were impacted by lower demand for paper as well as lower average pricing for packaging and cellulose fibers. These were partially offset by strong volume growth in our packaging business, outstanding cost management and lower maintenance outage expense. In 2020 we made choices about planned maintenance and other spending priorities to mitigate the impact of market disruptions. Our equity earnings were $77 million including $48 million from our Ilim joint venture, which was impacted by challenging tough markets and a non-cash foreign exchange loss of $50 million. For the full-year we received a $141 million is dividends from Ilim. Across International Paper, we proactively managed cash levers to deliver another year of outstanding cash generation. Moving to Slide five, at the outset of the COVID-19 pandemic, we established three principles to focus on what we needed to do as a company to remain strong and resilient for all of our stakeholders. First was to keep our employees and contractors safe. Second was to take care of our customers and third was to maintain the financial strength of the company and I believe International Paper executed extremely well against that success criteria. We did not experience any material operational disruptions due to COVID-19 while taking care of our customers. I'll turn to our employees, [indiscernible] remains our most important responsibility. Our performance reaffirms my appreciation for our 48,000 employees worldwide. We recognize our teams financially for their tenacity, commitment and resilience with a bonus totaling $25 million in the fourth quarter. I am also proud to work with them and to support the critical needs in our communities, which included the donation of two million corrugated boxes to agencies that have delivered essential food and supplies. We remain absolutely committed to our COVID-19 principles and we'll continue to focus on what we need to do to further strengthen the company for all of our stakeholders in the short-term and in the long-term. Now I'll turn it over to Tim who will cover our business performance and our first quarter outlook. Tim?
Tim Nicholls: Thank you, Mark. Good morning, everyone. I am on Slide six, which shows our year-over-year operating earnings bridge. Our 2020 results reflect strong execution and effective cost management to mitigate the impact of market disruptions associated with COVID-19. Looking at the bridge, price and mix were a significant headwind mostly due to the full year impact of 2019 in depth movement in our North American packaging business as well as lower average pricing in cellulose fibers and printing papers business. Volume was a drag on earnings due to the unprecedented decline in demand for printing papers. The impact was partly offset by strong volume in our packaging business, driven by higher demand across most consumer segments. We managed operations and cost well in a challenging environment with no material operational disruptions due to COVID-19. Our teams performed in a high level under a reconfigured work systems to protect our employees and contractors. We did experience higher operating and distribution cost in the latter part of the year as we flexed our systems to meet very strong packaging demand. Input cost were favorable for the full-year, driven by lower wood, energy cost and distribution cost, partly offset by higher recovered fiber cost. I'd also note the cost for wood recovered fiber energy and distribution increased in the fourth quarter. corporate items were favorable driven by outstanding cost management and lower interest expenses based on significant debt reduction. For the full year 2020, our operational tax rate was 25% compared to 26% in 2019 and equity earnings decreased due to lower Ilim earnings, which includes $0.13 of unfavorable FX impact. Turning to Slide seven, which shows our fourth quarter results. Operating earnings were $0.75 per share, which includes $0.05 impact related to the employee recognition bonus that Mark discussed earlier. Sales improved sequentially and came in better than our expectations driven by strong demand in our North American packaging business. EBITDA decreased due to the higher operating and input cost. As already mentioned, we generated robust free cash flow, which will continue to apply in a manner consistent with our capital allocation framework. In the fourth quarter, we reduced debt by about $600 million bringing our full-year 2020 debt reduction to $1.7 billion. Turning to the quarter-over-quarters earnings bridge on Slide eight, fourth quarter operating earnings were $0.75. Looking at the bridge, lower price mix was driven by prior period price flow driven packaging and cellulose fibers. Volume was favorable driven mostly by strong demand in corrugated packaging in North America and the EMEAs where the prior seasonal demand for papers in Brazil and Russian. Operations and costs were a significant headwind in the quarter. We experienced some reliability issues in our North American containerboard system most of which are behind us now. We also experience higher marginal operating and distribution cost to meet very strong packaging demand. We had a $20 million asset right off in cellulose fibers in the fourth quarter and as a reminder, our sequential earnings were impacted by the non-repeat of $30 million favorable items in the third quarter. I'd also like to note that the employee recognition bonuses reflected in operations in full which was allocated to each business. Input costs were unfavorable due to higher wood and recovered fiber, higher seasonal energy cost and higher distribution cost. We're experiencing significant rail, truck and ocean transportation congestion and we expect recovered fiber and distribution cost to trend higher as we enter 2021. Higher corporate expenses reflects the effective tax rate of 26% in the fourth quarter as compared to 19% in the third quarter which included a favorable adjustment after finalizing our 2019 tax returns. Equity earnings include the noncash foreign exchange gain of $0.05 in the fourth for Ilim as compared to a $0.14 loss in the third quarter. Let me turn to the segments now and I'll start with industrial packaging on Slide nine. Volume improved sequentially across all regions with strong demand in North America outpacing the impact of the three less shipping days in the fourth quarter. We're seeing broad based demand strength across all of our channels including boxes, sheets and containerboard. Just about every consumer segment accelerated in the fourth quarter, we continue to see strong double-digit growth in e-commerce and we believe the vast majority of e-commerce adoption is permanent. We're also seeing strong demand for consumer and durable goods, especially for building materials. Food service categories contains lag and the pace of recovery will depend on the restaurant and travel industry recovery. Export containerboard demand will also robust. We have strong backlogs as we have fright board, containerboard shipments to our integrated system here in North America to meet our customer's demands. Operations and costs were a significant headwind due to several factors. We experienced some isolated reliability issues late in the quarter, most of which are now behind us. We also faced higher costs in our mill and boxes to meet strong demand, including the impact of less optimal containerboard sourcing to our box plants. We also experienced our supply chain cost and over time with just about every box plant running on weekends. And lastly, recall that ops and cost includes the employee bonus we discussed earlier which for packaging represents about $15 million. Maintenance outage cost improved sequentially as planned. Input cost increased driven by higher recovered fiber, seasonal energy and distribution cost. Cost for recovered fiber and distribution continued as we enter the first quarter which reflects overall strength in demand we're seeing. Moving to global cellulose fibers on Slide 10, price and mix was unfavorable on the contract flow through of lower third quarter list price. Volume was stable, demand for fluff pulp improved late in the fourth quarter following the expected destocking. Operations and costs were impacted by a $20 million right off of capital and engineering costs following a review of the capital investment needs for the business. Maintenance outage increased and input costs were essentially flat. Taking a closer look at fluff pulp demand, as I mentioned, demand improved throughout the fourth quarter. Demand continued to improve as we entered 2021 with healthy backlogs for fluff pulp. In addition floor congestion is stretching supply chains due to the high levels of imports in the US Turning to printing papers on Slide 11, the business delivered earnings of $80 million in the fourth quarter with continued strong cash generation. Our North American, Brazilian and Russian regions delivered returns about the cost of capital. We continue to leverage our strong brands, our world class customer service and our low-cost system to maximize performance as we navigate a challenging demand environment. Looking at the fourth quarter performance, across the segment price and mix was stable. Volume improved sequentially across all regions with stronger seasonal demand in Brazil and Russia. We're seeing a gradual recovery in demand across all regions, which we expect will celebrate with stronger return to office and return to school activity. Operations and cost includes higher seasonal energy consumption and the non-repeat of favorable items in the third quarter of about $10 million. Fixed cost absorption improved with economic downtime decreasing by nearly 100,000 tons sequentially. Maintenance outages increased as expected and input cost increased primarily due to higher transportation and seasonal energy cost. Looking at the Ilim results on Slide 12, the joint venture delivered $53 million in equity earnings in the fourth quarter with an EBITDA margin of nearly 30% on improved commercial performance. Volume improved 16% year-over-year on strong softwood pulp exports. Pricing mix was also favorable with the price utilization for softwood accelerating in the fourth quarter. Fourth quarter equity earnings include foreign exchange gain on Ilim's US dollar denominated net debt of which IP's after-tax portion was $22 million or five cents per share for the full year adjusted EBIT dollars $519 million which represents the 26% margin full-year 2020 equity earnings were $48 million which includes $50 million in foreign exchange loss on Ilim's US dollar denominated net debt of which IPs after tax portion was $22 million or $0.05 per share. For the full year adjusted EBITDA was $519 million which represents a 26% margin. Full year 2020 equity earnings were $48 million which includes a $15 million foreign exchange loss on Ilim's US dollar denominated net debt. Although 2020 was a challenging year across global pulp markets, Ilim's strong operational performance and low-cost system make a powerful cash generator. We expect to receive about $100 million in dividends from Ilim in 2021. As Mark said in his opening remarks, we generated outstanding free cash flow of $2.3 billion in 2020. In our first quarter earnings call last year, we highlighted the company's financial flexibility in some of the cash levers we had available to enhance our cash generation. Given the significant economic uncertainty because we pulled some of those cash levers to reinforce the company's financial strength. We executed well on the things that impact cash. In addition, COVID-19 changed the way we worked in 2020 and choices that we made around our planned maintenance and other spending priorities. In the fourth quarter we also benefited from a tax refund claim which contributed $115 million to free cash flow. Our early actions and strong execution across the company enabled us to deliver another year of outstanding free cash flow. Turning to Slide 14, I want to take a moment to update you on our capital allocation actions in 2020 and provide clarity on what you can expect from International Paper as we move forward. We'll maintain a strong balance sheet and we're committed to our current investment grade rating with a targeted debt to EBITDA of 2.5 times to 2.8 times on a Moody's basis. We're very pleased with the progress we've made on the balance sheet, debt and pension in 2020. We repaid $1.7 billion of debt and our pension GAAP improved by $500 million. Our pension plan is sufficiently funded. We closed 2020 with a healthy 95% funding level and we feel really good about the actions we've taken over the past few years to de-risk the plan. We closed 2020 at 2.9 times leverage. We're in a much better place and we're committed to getting to our target range. Returning cash to shareholders is a meaningful part of our capital allocation framework. In 2020, we returned $800 million to shareholders. Over the past five years, we returned nearly $5.2 billion to shareholders through dividends and share repurchases, or just over 50% of our free cash flow. We remain committed to a competitive and sustainable dividend with a target range of 40% to 50% of free cash flow, which we review annually as earnings and cash flow growth. And we’ll continue evaluating our free cash flow and intrinsic value to ensure that share repurchase opportunities are weighed against other capital allocation options always with a commitment to maximize value creation. Investment excellence is central growing earnings and cash. We expect CapEx in 2021 to be around $800 million. We’ll continue to proactively manage CapEx and have the ability to increase or pullback as circumstances warrant. You can expect strategic capital to be deployed mostly to our packaging business to build that capability and capacity needs to drive profitable growth. We’ll continue to assess discipline and selected M&A opportunities to supplement our goal of accelerating profitable growth. You can expect M&A to focus primarily on bolt-on opportunities in our packaging business in North America and Europe. Continuing on Slide 14, I want to provide an update on the 2006 timber monetization installment. After careful consideration, we decided not to extend the notes. When these notes mature in August of 2021, we expect to receive $630 million in cash, which represents our equity. We expect to paying about $75 million in taxes upon maturity of the timber notes. Now I’ll turn to Slide 15 and our first quarter outlook. Demand for corrugated packaging is very strong as we enter the first quarter. Demand for fluff pulp accelerated in the fourth quarter and that momentum continues in the first quarter. In printing papers, we’re seeing a modest recovery in demand. But challenges will likely persist until we see a broad base return to offices and schools. Taking a closer look at industrial packaging, we expect price and mix to improve by $65 million on the realization of our November 2020 price increase. Volume is expected to be flat sequentially, with strong box demand offset by one less shipping day in the first quarter. Operations and costs are expected to improve by $35 million. Staying with industrial packaging, maintenance outage expense is expected to increase by $87 million and input costs are expected to increase by $30 million, mostly due to higher recovered fiber and distribution costs. In Cellulose Fibers, we expect price and mix to increase by $15 million on realization of prior price movements. Volume is expected to be stable. Operations and costs are expected to improve by $35 million. Maintenance outage expense is expected to decrease by $6 million and input costs are expected to increase by $10 million, mostly due to higher seasonal wood and energy costs. Turning to printing papers, we expect price and mix to be stable. Volume is expected to decrease by $15 million on lower seasonal demand in Latin America and Russia. Operations and costs are expected to improve by $15 million. Maintenance outage expense is expected to increase by $2 million and input costs are expected to increase by $10 million again mostly due to higher seasonal wood and energy costs. And under equity earnings, you’ll see the outlook for Ilim joint venture. Coming back to planned maintenance outage expense for the full-year 2021, we plan $155 million of higher expenses. This increase includes deferrals we chose to make in our packaging mill system to meet strong customer demand as well as the impact of higher coal maintenance outages across facilities. And with that, I’ll turn it back over to Mark.
Mark Sutton: Thank you, Tim. I’m on Slide 16 now, as we shared with you in December, we’re taking meaningful actions to do better IP and accelerate profitable growth, we’ll focus on Corrugated Packaging, we’re committed to deliver $350 million to $400 million in incremental earnings by the end of 2023. As part of our commitment, we’ll deliver $50 million to $100 million of incremental annual earnings growth in our businesses through commercial execution and investment excellence. We’ll also deliver $300 million in structural cost reduction, we have initiatives underway in three areas. First, we will streamline and simplify our organization to support a packaging focus company with a more focused geographic footprint. Second, we’ll redesign processes to increase efficiency and reduce costs in areas such as maintenance and reliability, distribution and logistics, and sourcing. And third, we’re identifying opportunities to better optimize our fleet of assets to make the right products on the right assets to further improve our cost position and to be more efficient with our capital. As we move forward, we’ll be sharing with you the multiple streams of earnings initiatives we have underway, and when you should expect to see them enhance our earnings. Today, let me describe one of the key enablers to delivering on our process in asset optimization cost savings. And as you notice on the slide, accounts were about 70% of our structural cost reduction target. We’ll use new approaches that leverage technology and data analytics in our businesses. We established a dedicated team has been working closely with external partners and our businesses over the past year to identify, develop, and pilot a wide range of highly attractive opportunities, which are now moving to scaled implementation. Turning to Slide 17, you can see a few areas where we're using data to provide greater visibility and actionable insights. These tools enable new approaches to optimize our value chain, from our mills to our box clients and ultimately to our customers. We expect these initiatives to deliver between $150 million and $200 million in annual earnings improvement. We’re making excellent progress scaling up several of these initiatives and expect to realize about half of these benefits in 2022. Let me give you a few examples of what this looks like. We’ll use real time data to optimize production scheduling across our box plants in North America. Although many of the benefits result in lower costs across our system, we’ll also gain low cost incremental capacity in our box system to pursue profitable growth with very little incremental capital. We're also using third-party logistics technology to optimize transportation planning and reduce distribution costs in our box plants. In our Mills, we’ll use continuous online monitoring and data analytics to improve fiber, chemical and energy consumption. In addition, online equipment monitoring will also enable us to predict potential equipment failures, improve reliability, and reduce our overall maintenance costs. And in sourcing, we have greater visibility and more effective tools across a broader set of our procurement activities. We’ll use internal and external data to develop a more targeted catalog of sourcing options to drive savings in operating and repair materials. Working with our external partners, our team is moving quickly to scale these opportunities and integrate them into our business processes. Team is also working closely with our businesses to identify more opportunities. Let me close on Slide 18, our 2020 performance adds to my confidence in the path we're charting to build a better IP. We're motivated by the opportunities we have to accelerate value creation for our shareholders. Now, I'm mindful that we're still in the midst of a global pandemic and there's still significant uncertainty, International Paper strength and resilience endures. We're proud of the essential nature of our products that we make. Our employees have demonstrated commitment to take care of each other and our customers and that commitment continues. Our customers can count on International Paper to be there for them and deliver superior solutions and our communities can count on us to be responsible partners to improve the lives of the people who depend on us. We have an exciting and ambitious agenda. We’ll continue to focus on what we need to do to further strengthen the company in the short-term and in the long-term for all of our stakeholders. With that, we’re ready to take your questions.
Operator: Thank you. [Operator Instructions] And our first question is going to come from the line of Phil Ng with Jefferies.
Philip Ng: Hey, good morning, everyone. How should we think about inflation, when we think about 2021, particularly some of these bigger buckets, you've called out that's more volatile whether it’s freight and OCC, and certainly really good to see operation costs improve sequentially. But are there any costs like distribution for example, that we should be expecting to be more elevated, just given how strong demand is?
Mark Sutton: So, we think about inflation in a couple of ways, we have general inflation of employee wage increases and general materials and operating materials. And that roughly runs around $200 million a year for us, it can be a little bit more, a little bit less. On the input side, of course, we track those quarter-by-quarter. And it's really driven by what's happening in the market. So in the moment, given transportation, we see that as a bit of a headwind, just given the economic activity that we're experiencing across the country, spot rates on truck are elevated. As I mentioned in the speaker notes, congestion across most of the transportation modes. So we'll have to see how it plays out. And some of it is driven marginally by just the incremental demand growth that we're seeing in a moment and sourcing transportation to make sure we get it to customers on time. So yes, it's a bit of a headwind.
Philip Ng: Got it. That's helpful. And then I noticed that most of your maintenance downtime, particularly in your Corrugated segment in North America was going to be first half loaded. It sounds like demand is still really strong and markets pretty tight to begin with. So just want to get some comfort on, do you have enough inventory to kind of meet demand and give us a little flavor how lead times and backlogs are looking right now?
Mark Sutton: Well, we've got long backlogs, extended backlogs in the export channel. As we mentioned, we've been pivoting and prioritizing that to the North American market through our Integrated system. I would say our inventories are lean right now. And we will manage our outages accordingly to balance outage time and customer demand and the need for more. But we ran very lean in the back half of 2020. We still see pressure.
Philip Ng: Okay, thanks a lot. Really appreciate the color, guys.
Mark Sutton: Sure. Thank you.
Operator: Our next question will come from the line of Gabe Hajde with Wells Fargo.
Gabe Hajde: Good morning, Mark, Tim. Hope all you’re well.
Mark Sutton: Hi, Gabe.
Gabe Hajde: I guess the first question would be on industrial volume trends. And I think from the outlook in terms of flat would seem to imply kind of 1.5% growth directionally on a per day basis. Can you comment at all as sort of what you're seeing currently, and then given the difficult March comp, how you would kind of expect that to progress just given what you're seeing in your backlogs?
Mark Sutton: We're continuing, Gabe to see the kind of demand profile we saw in the fourth quarter continued through the month of January. We expect based on the backlogs we have, based on our conversations with our customers, even though the comps are going to be harder starting in March, we expect on an absolute basis strong market. And that's why it's really critical that we manage what Phil was asking about which is the supply we have available of containerboard and box plant capacity with the demand we're going to have and also navigate the necessary maintenance outages. But the market for our customer order book is really strong.
Gabe Hajde: All right, thank you, Mark. And then flipping gears kind of quickly to the [indiscernible] ramp-up. There wasn't much commentary or anything in the prepared remarks. Just curious how that ramped-up for you and is helping kind of ease some of those inventory pressures that you're seeing, any incremental costs and do that kind of contribute to the difference relatively to our model to what we were expecting in terms of profit?
Tim Nicholls: Yes, thanks for the question. It's going extremely well. We're ahead of our ramp curve, ramp curve will continue building through 2021. But really pleased with how the machine is running and the quality, we’re getting off of it so far.
Operator: All right, and our next question will come from the line of Dr. Mark Wilde with Bank of Montreal.
Mark Wilde: Good morning, Mark. Good morning, Tim.
Mark Sutton: Mark, good morning.
Mark Wilde: Mark is best you can, I'd like to talk about any impact on IP from this cyber attack at one of your largest peers. And maybe also, what IP is doing to defend itself from similar things?
Mark Sutton: Well, that seems like cyber issues are in the news almost every day, we haven't had any material impact related to any cyber issues. We’re working constantly with our information technology process control at our Chief Information Security Officer and our board to make sure we're staying ahead of the curve. And there's a lot of techniques Mark, every company's got approaches and outside help. But what we've focused on is making sure our manufacturing network where it's connected and needs to be connected, and where it doesn't need to be connected, it's not connected. So it's a hybrid of connectivity to share data that's necessary to share and a distributed system when it's not necessary to share. So isolating into sectors, the different potential entry points. On the business, back office systems, again using our own and third-party sticker protection protocols. But it's a moving target. And we’re continuously working on it. And we always feel, I think it's a healthy way to feel that we're behind. So that keeps us laser focused on it.
Tim Nicholls: Mark, I’d just add. The other piece of it Mark is from a disaster recovery and business continuity standpoint, those are things that we run drills on a regular basis to hopefully make sure that we're able to recover, should we have an attack Mark is right. There's a huge dose of humility in all this stuff.
Mark Wilde: Is there any impact on just like slops that you do sort of amongst companies to kind of minimize freight costs? I mean, one of the things we hear about is that there's issues with shipping from some of those sites right now?
Mark Sutton: I really can't comment on the company you're talking about, but I'll tell you…
Mark Wilde: I talk about IP though, does this have any effect, impact on IP because somebody's not able to meet this as a one-off?
Mark Sutton: We haven't seen any. Sorry, I misunderstood your question. We haven't seen any impact. We are, it's all we can do with or without those disruptions to supply all of the channels to market that we have demand for right now. But no, Mark, we haven't seen anything that's affected us in a noticeable way.
Mark Wilde: Okay. Understood, thanks.
Operator: Thank you. Our next question will come from the line of George Staphos with Bank of America.
George Staphos: Hi, everyone. Good morning. Thanks for all the details. Hey, my first question, Mark. And we're not going to hold you to this, but just want to get a sense for as you look at global cellulose fibers, and hopefully, a better demand outcome as we go into ‘21. And what looks to be a better market pricing across all the cellulose market. Do you think the business can turn profitable this year? Or does more work needs to be done either in terms of demand, cost, commercial efforts? How would you have us think about that not looking for the quarter, but just conceptually, do you think the business now is at a level of profitability that, we can see some positive numbers at some point?
Mark Sutton: I think the answer is yes. You'll see positive numbers at some point. I mean, the reason we didn't go beyond the first quarter with anything specific is because of the uncertainty and the likelihood that no one really knows how things are going to play out until we get this pandemic under control. But what do you want to be looking at and what we're looking at is continuous improvement in cellulose fibers on all fronts. We've got some internal things that we can do, and we're working on them to improve our cost, position, post the integration of Warehouser and IP, and then there's the market pricing, volume selected customers, and all that is moving in a positive direction right now. What I can't predict sitting here today is the rate but you'll see quarter-after-quarter more positive results and the business is getting start gaining some momentum and we're beginning to turn that corner now.
George Staphos: Okay, Mark, thanks for the comments there. And I wanted to kind of a longer-term question with you here. So if we go to the slide that you and Tim were discussing on longer-term cash flow, the compound rate of growth over 10 years has been something around 3%, which is quite good given the capital intensity of the business and a lot of the challenges that you've had to consider over time, when you think about the outlook over the next five years, next let's keep it to five years, given the demand pickup that you've gotten from e-commerce, given some of the optimization opportunities you're working on. But also given what might be a more inflationary environment, what would you advise investors and analysts to think about in terms of your growth rate and cash flow over the next five to 10 years? Should it be accelerating? Is it 3%? And qualitatively, what would be the biggest drivers of that outlook? Thank you.
Mark Sutton: George, that's a really great question, a little heavy for a quarterly earnings call. But it's a fair question. 
George Staphos: I figured I'd give that up a little bit.
Mark Sutton: Perfect, we always want more strategic questions. And our objective of building a better IP is obviously to generate consistent, credible earnings growth. And that's going to have a positive effect on cash. But I am sitting here with my CFO who really wants to answer this question. So Tim, why don't you?
Tim Nicholls: Well, I want to just give a little bit of perspective. So Mark's, right. I mean, the key is growing earnings and that should grow cash. But the other things that we're working on that we have mentioned, is our capital investment process and making sure that we’re more robust about how we deploy capital. Hopefully, that's going to lead to higher returns from projects we do and fewer projects, where they don't meet the criteria that they need to meet. And so on balance, we should get more for less cash. The other places just what Mark talked about earlier, some of these technology driven earnings improvement opportunities are giving us capability around both capability and capacity without the normal capital investment dollar on the front-end. So I thought it was worth highlighting that.
George Staphos: All right, thanks, Tim. I'll turn it over.
Operator: And our next question will come from the line of Anthony Pettinari with Citi.
Anthony Pettinari: Good morning.
Tim Nicholls: Good morning.
Anthony Pettinari: I have a question on the port delays and supply chain congestion impacting cellulose fibers. Just wondering if there's any detail you can give in terms of how that sort of stands in February. And in terms of potential impact to 1Q, you talked about non-repeats on in the outlook slide, I think you said $35 million improved ops and cost, is supply chain in ports a big part of that sequential improvement, just wondering, there's no finer points to put them?
Mark Sutton: Well, I think, it's yet to be determined. But that is we do expect that to improve. It's part of it, but we haven't seen the improvement really take hold in any meaningful and meaningful way. Maybe it's in a way a result of the impressive demand improvement. So I think it usually works itself out through the quarter. And we’re hopefully beginning to see that. And so we can get our product all the way to market.
Anthony Pettinari: Okay, and maybe just related question. I mean, can you talk about the current pulp market conditions, especially in China, I mean, we're seeing some price increases and spot prices there that are pretty eye popping. Could you just talk about what's driving that, maybe the sustainability and then if you could just remind us in terms of IP Cellulose Fibers business and then from Ilim, what percentage of your shipments in pulp go to China versus North America versus other parts of the world?
Mark Sutton: So I mean, what we see generally in China, so in our cellulose fibers, fluff pulp, we’re selling, we’re inside that whole softwood pulp market environment. The Chinese economy is improving, paperboard production is increasing, and that's increasing the need for softwood pulp which improves the entire market supply and demand and dynamics and that flows to fluff pulp. So we think it's the broader Chinese economy improving, it looks to be sustainable as China seems to be first in really recovering from the economic impacts of the pandemic. Most of Ilim, I think your second part of your question was the Northern softwood that Ilim makes, almost all of what Ilim makes, goes to China, if not all of it. There could be a couple of other markets that are not technically China, but it's all China and the Greater Asian market in that area because remember, Anthony our two pulp mills are in Siberia. So we've shipped directly, virtually nothing goes anywhere else.
Anthony Pettinari: Great. And then IP’s kind of cellulose fiber footprint proper in terms of U.S. versus China versus rest of world?
Mark Sutton: Yes, so to China, if memory serves I think it’s roughly 30% of what we should virtually everything goes offshore. We have some customers here in North America, but 80% of what we make goes offshore somewhere either to Europe, or to China. I think China, if I remember correctly, is roughly 30% for the absorbents.
Anthony Pettinari: Okay, okay, that's very helpful. I'll turn it over.
Operator: And our next question will come from the line of Adam Josephson with KeyBanc.
Adam Josephson: Mark, and Tim, good morning. Thanks for taking my questions. Tim, one on the price mix guidance you gave for industrial packaging, it implies about $20 a ton of higher prices sequentially. So assuming you didn't realize much of the November increase in the fourth quarter, for obvious reasons, then that would suggest that cumulatively, you’ll have realized maybe half of the $50 increase by 1Q, if am I thinking about it correctly? And is that the typical length of time that it takes you to realize these price increases? Any more detail you could give would be helpful?
Tim Nicholls: Yes, sure. Two things one, first of all, in the fourth quarter, we had last residual of the price published down impact from January in the fourth quarter. So a very small percentage of these things have a lag effect that takes few quarters to work through, I would characterize our price realization on the containerboard and box price increase, that was announced in November as following a typical pattern, it usually takes a couple of quarters, for the majority of it to flow through, but then there is a residual that will continue into the third and the fourth quarter of this year. But it's no different than what we've experienced in past increases, we're expecting the same type in curve.
Adam Josephson: Got it and then also related to guidance, Tim. Normally this time of year, you give full-year EBITDA guidance, obviously, you did not do so this time, can you talk about, how strongly you consider giving guidance and why you ultimately chose not to? And because obviously we know what the price impact could be, you have your idea of what costs inflation could be, you know if maintenance will be up, corporate will be up. So, obviously, you've got some of the pieces. So just wondering what your thought process was there?
Tim Nicholls: It's a great question. So from a technical standpoint, we don't really give guidance, we provide an outlook. And you're correct, we have in prior-years, given a rough outline for what our expectations were in the coming year. If you'd asked me that question in October about what we would do right now, I would have probably been in a different place. But I think with COVID stretching longer than we imagined, vaccines not coming into play to as greater degree is what was forecasted. We didn't see at this point in time, a reason to change our practice from the past few quarters. I'm hopeful that as things play out in the first quarter, maybe second quarter, we'll have much more clarity, and we can start looking a little bit longer-term. But that was the rationale around thinking about our outlook for this call for the first quarter.
Adam Josephson: Thanks a lot, Tim.
Operator: Okay, our next question will come from Mark Weintraub with Seaport Global.
Mark Weintraub: Thank you. Two follow-ups, first on the capital spend, it really is noticeable that you've been able to bring down that spend and apparently get what you need done. In particular 2020, it was only 430 on maintenance and regulatory. Is that do you think that type of number is sustainable? What's really a good number for you to meet those needs on maintenance and regulatory? And kind of more generally, what should we be thinking about or where do you think you are as to how much you need to spend to effectively run in place, so to offset inflation and then presumably anything above that would drive growth through cost reduction, strategic et cetera?
Tim Nicholls: Yes, it's a great question. So I would say that our maintenance capital investment in 2020 was on the low side. We try to optimize and maximize every dollar that we put into the facilities and do it in a targeted way. But we have cycles, something, some types of maintenance are due on a calendar basis, because certifications are required and whatnot, we're looking at some of that, this year or just on a higher cycle. We also took it as an opportunity, given the unusual nature of last year as we reference to think a little bit differently about to what extent and how we would deploy maintenance outages across the fleet. So the trend would or the, the normalized, if you will, would be higher than last year. But with the offsets that we mentioned earlier, we’re trying to become more efficient on capital and some of these predictive reliability capabilities are giving us an opportunity over time, we think to anticipate a problem before it actually happens, which should yield a lower cost, whether it's capital or expense in our facilities.
Mark Sutton: So Mark, this class comment you made is really important. And I made this point a few calls ago, we really look at maintenance in totality. So there's a capital expenditure component. But there's an expense component that oftentimes is 2x and capital components. So when we look at lowering the cash needed to run in place, as you say, to maintain today's earnings and cash flow, we look at the total number. And sometimes well placed capital expenditures can significantly and dramatically lower your ongoing expenses. And the company would be better off and the cash generation profile would be better off. So we're constantly looking at that, what's exciting about some of these new technological approaches is we can probably if we're successful, save not only on CapEx, so it's mostly condition based, not time or inspection based, but also on the expense side. So there's a huge multiplier if we get it right.
Mark Weintraub: Thank you and I definitely appreciate the complexity. So maybe a different way to ask would be with what you spent last year on both capital and as you said, the maintenance et cetera that gets expensed. Would you say that you were at a level that was meeting that run in place, maybe above it, or because of the unusual environment had you elected to go below it?
Mark Sutton: I think we were at a level that allowed us to run in place. I answered that without knowing the impact of every decision we made because it's a continuum, we made choices to do and not do certain things in 2020, because of the pandemic influenced disruptions on the market. Some of those look like they've been good decisions. Some of those may end-up being bad decisions in the month of April. And we realized something we didn't do created a disruption. So you have to constantly look at it on a continuum basis. But I feel like the combination of capital and expense and the performance we delivered and continue to deliver albeit a couple of operating issues in the fourth quarter that we struck about the right balance.
Mark Weintraub: Great, thank you. And then just on pulp, a quick follow-up. Recognizing there's a lot of volatility and predictability. Two questions. One is on Ilim, you have not that much of a change in the equity and earnings for the first quarter versus the fourth quarter given what we have seen in the Chinese spot market sectors sort of seemed a bit surprising. I know if there's any color you can add on that. And then second, is there a methodology you would provide for us on the outside to think about how to translate what we see in list prices, to what flows through and how quickly it flows through into your Cellulose Fibers results for the North American operations?
Mark Sutton: So on global cellulose fibers, just start there, we have a fairly predictable and normal over time, ramp curve on containerboard. The pulp business is different, it has a different set of dynamics, we have different segments of customers, contracts vary across the customer base and our experience has been over the past few years that the price increases tend to take longer to work their way through to the bottom line. So confident in the price increases that we put out there but it always takes time for them to be fully realized. On Ilim, I think most of what you're seeing contributed to plan is just, it's just FX and expectations around FX.
Mark Weintraub: Thank you.
Operator: And our next question will come from the line of Mark Connelly with Stephens Incorporated.
Mark Connelly: I was hoping we can talk about pulp a little more long-term. Soft demand tends to be pretty reliable and markets pretty attractive growth character, but the returns over time tend to be really inconsistent. We saw that with some of the assets long before you brought them. Is it realistic to think that there is going to be a time when contract terms start to delink from commodity pulp or have that specification barriers broken down because of the vast pulp processing. I am really trying to understand how you think about the long-term profile of pulp when we think about that in contrast to what you’ve accomplished in containerboard?
Mark Sutton: It's a great question Mark. The commercial strategy that we deployed and it looks like the market deployed was clubbed for a long time was an external product on top of the broad pulp offering. It's now becoming a real market on its own and probably a different commercial approach, that's always difficult when she started one way to change but that is naturally our objective to change the way we value the product and to make sure we understand that we're getting appropriate value for what the product and service we provide. It will take some time but I think the downside is not improving is that the investment in making sure that product is available long-term will be much attractive and I think most markets if the product is really valuable and the technical specifications are really important and it seems that they are, it usually can correct over time, but it's not easy and you made a good point.
Mark Connelly: Okay. And if we can just sweep, your process optimization program, I was just trying to understand how it differs from what you’ve done before because we tend to think of IP as a leader in process management especially containerboard. So it's focused on different things really just bringing new technology. I am thinking back to Carol Roberts seven-year program.
Mark Sutton: That's a fair remark. There's always opportunity to improve and we have systems and capabilities across few organizations that has helped us manage to where we are today. We're seeing new opportunities to use data in a different way and different types of data to make real-time decisions. So for instance, you think about the supply chain from fiber to the mills, containerboard to box plants and then the customers and thinking about how we manage board combinations across our system based on availability and where to arbitrage transportation for fiber cost is an opportunity that we think we can really exploit and so the tools are giving us a way to compare options that are just quite frankly too complicated to do in the moment by hand and we're building technology tools that will help us do that and they better trade off decisions.
Mark Connelly: I appreciate it and obviously IP has been a leader in that space and nice to see you making more progress.
Operator: [Operator instructions] And our last question will come from the line of Neel Kumar with Morgan Stanley.
Neel Kumar: In terms of the OCC prices, we've seen there's run up a bid recently, can you just give us a sense of the expectation for how OCC prices evolved through 2021 as well as longer term and then this is how the Chinese ban of OCC imports, it seems that it has taken a shortage of fiber. Do you have any thoughts on whether it's kind of tangled stick and how they will grow out their fiber needs going forward?
Mark Sutton: We couldn’t hear exactly, I think you asked about OCC prices, but you broke up a little bit at the beginning of your question. Is that what you're asking OCC prices?
Neel Kumar: Yeah, I was just asking about what's your type of strategy at OCC in 2021 is the longer term?
Mark Sutton: 2021 the crystal ball is not that clear going out towards the second half of the year. In the quarter, we expect the trend that we saw in the fourth quarter to continue in the first and so on average I think we're expecting $15 to $20, maybe a little bit more than that on OCC but it really will depend in such a fastly acting market to circumstances and conditions. So we'll have to see what happens as we go from first into second quarter.
Neel Kumar: Great and then just in terms of China's ban on OCC imports, do you think that's going to stick or how does it address their fiber needs going forward?
Mark Sutton: Well we've inherently always, we've said, we've taken their word and I think you've already seen the market is beginning to adjust and is just adjusting last year and maybe even late 2019 in anticipation of this. So I think you see some of that rotation from one fiber time to another in China and you see a rebalancing across other export markets for OCC. So yeah, I think that probably stays in place.
Neel Kumar: Great. Thank you.
Guillermo Gutierrez: So thanks everyone for joining us today and for the call -- for the questions, excuse me. Just a closing comment, we are excited about what's in front of us with International Paper. We have strong demand in packaging and cellulose fibers business. Our paper business is recovering. We're still navigating the pandemic, but as I said in my comments, I have total confidence in our employees to be able to continue to do that. We have improving market conditions and so we're excited about the way 2021 is going to unfold and lead us into a very strong position as we enter 2022 and what I'm very hopeful is a pandemic-free economic playing field. So thank you again for your interest in International Paper.
Operator: Thank you for participating in today's International Paper fourth quarter and full year 2020 earnings conference call. Your may now disconnect.